Operator: Good morning ladies and gentlemen and welcome to the Q3, 2017, Great Lakes Dredge & Dock Corporation Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host Ms. Abby Sullivan, Manager of Investor Relations. Please begin.
Abby Sullivan: Good morning and welcome to our quarterly conference call. Joining me on the call this morning is our Chief Executive Officer, Lasse Petterson; and our Chief Financial Officer, Mark Marinko. Lasse will provide continuing comments on our recent business update. Then Mark will provide an update on the quarter ending September 30, 2017. Finally, Lasse will provide an outlook for remainder of 2017. Following their comments, there will be an opportunity for questions. During this call, we will make certain forward-looking statements to help you understand our business. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our business are set forth in our earnings release and in filings with the SEC, including our 2016 Form 10-K and subsequent filings. During this call we will also refer to certain non-GAAP financial measures, including adjusted EBITDA from continuing operations, which are explained in the net income to adjusted EBITDA from continuing operations, reconciliation attached to our earnings release, and posted on our Investor Relations website, along with certain other operating data. With that, I'll turn the call over to Lasse.
Lasse Petterson: Thank you, Abby and good morning. As communicated in our recent business updates, during the last few months we have completed an extensive analysis of our current operations and the markets we operate in, with a goal of improving the company’s performance and results. We have announced the restructuring plans to be implemented over the next 18 months to 24 months with a targeted EBITDA cost savings of approximately $40 million, fully realized by the end of 2019. These savings are the results of a combination of operational improvements from projects, optimization of our fleets by retirement of old and underutilized assets, and upgrades to our most productive units and reduction of corporate and divisional overhead and G&A cost. During the third quarter of 2017, we initiated the implementation of this plan and recognized approximately $2 million of restructuring charge, all related to severance. We expect that the full restructuring charge will be between $42 million and $47 million with the majority recognized in the third quarter and fourth quarter of 2017. As certain assets are still finalizing their service on projects going into 2018, the associated charges will be recognized in the corresponding period. As communicated, the majority between $39 million and $44 million of these restructuring charges will be non-cash. Third quarter was a difficult quarter operationally, as we were impacted by a number of major hurricanes in the South and South East regions of the country. In Louisiana, Mississippi we demobilized the work sites as Harvey cost havoc in the south and in the east we were impacted by Maria and Irma when they traveled up the cost. We sustained no personnel injuries or damage to our vessels from the hurricanes. The delays cost by the stand downs as impacted our results for this year; however the work has only been delayed and will be executed in the 2018. In our environmental & infrastructure segment, we had good progress in California and Florida on multiple projects, and we are targeting these areas in particular for new work. As announced we have been awarded both the Charleston phase 1 and phase 2 port deepening projects totaling $260 million, with an additional $65 million of options expected to be awarded in the next few months. We are also preparing for bidding on the Boston Harbor Deepening project this quarter. As Mark will detail later in the call, the bid market expected for the remainder of 2017 and into ‘18 has regained strength, with the focus on port deepening projects as well as beach rebuilding work from this year’s active hurricane season. We expect the bid market in the 2017 to be approximately $1.3 billion, which is $400 million higher than 2016, with 2018 expected to be high as well. The international market is continuing to slowly but surely improve. We have contracts in place in the Middle East that will ensure utilization of our fleet for 2018 and with options for further work. During the quarter we have also been keenly focused on the completion of the ATB dredge Ellis Island. As noted in our release this morning, a mechanical issue involving the port side gearbox on the Tug Mackie delayed delivery of the ATB. All systems on the barge portion however has been commissioned and are ready for operation. The ATB is scheduled to reconvene sea trials this week. Upon successful completion of sea trials, we will take possession of the ATB and she will sail to the Mississippi Coastal Improvement Program, where she will begin work. We will have a better assessment of the specific delivery date once sea trials are completed. With those updates, I’ll turn the call over to Mark to discuss the results of third quarter.
Mark Marinko : Okay, thank you Lasse. I will start with the consolidated results and then discuss results at the segment level. Total company revenues in the third quarter of 2017 were $163.3 million, which is an 18% decrease compared to the third quarter last year, with revenue down 13% in the dredging segment and 33% in the E&I segment. The revenue decline in dredging is primarily due to project mix and the impact of the hurricanes, while the decrease in E&I is a combination of the absence of revenue from the divested Terra services business, as well as lower volume in the core E&I business. Total company consolidated gross profit is $16.7 million, a 17% decrease compared to the third quarter of 2017. Gross profit margin for the quarter was 10.2% compared to 10.1% in the prior year. Total company operating income was a loss of $1 million for the quarter, a decrease of $13.9 million from the third quarter in the prior year. The decrease is mainly the result of the noticed decrease in gross profit, as well as the $8.6 million benefit related to the reversal or the potential earn out and restricted stock units that was recognized in the third quarter of 2016. And finally, $1.7 million of severance related to the restructuring actions impacted G&A during the quarter. Net loss from continuing operations was $4.9 million for the quarter compared to net income of $4.6 million in the prior year quarter. In addition to the lower operating income, net interest expense was also $1.6 million higher during the current quarter. Adjusted EBITDA from continuing operations was $11.3 million compared to $29.1 million in the third quarter last year. At the segment level, the dredging segment's revenue decrease from the prior year quarter and lower foreign capital, domestic capital and costal protection revenues which were offset by higher maintenance in rivers and lakes revenue. Gross profit margin increased to 12.3% from 10.7% in the prior year quarter on lower plant and overhead costs, offset by slightly decreased direct contract margins caused by project mix. Consistent with our messaging throughout the year, we have seen improvement in margin during the year, but do not expect annual margins to reach the levels that we are seeing in 2016. Dredging's operating income decreased to $2.7 million for the quarter, which is a $2.8 million below the same period in the prior year, driven primarily by the lower gross profit as well as cost associated with the restructuring that are impacting G&A. Our E&I segment's revenue decreased in the third quarter of 2017 compared to the prior year by $14.9 million. The decrease is a result of the lost revenue on the divestiture Terra services business, as well as delayed work and lower volume of work in the remaining core business. During the third quarter, the E&I segment gross profit margin decreased to 0.9% from 7.9% on significantly less volume, as well as higher direct contract costs. Additionally during the quarter the segment recognized a $2.9 million loss related to one project. The year-to-date impact of this project loss is $3.6 million. The segment did benefit from lower plant and overhead expenses during the quarter. The segment reported an operating loss of $3.7 million in the third quarter, a $11 million decrease from the prior year quarter. Please note that the prior year quarter included the $8.6 million credit and G&A related to the reversal of the potential earn out and restricted stock units. The credit was partially offset by a decrease in other operational G&A related to the divested Terra services business and overall cost cutting within the segment. Although operating income has improved in the segment year-over-year, we expect that it will remain in an operating loss position for the full year 2017. Turning to our balance sheet, at September 30, 2017 we had $10.5 million in cash and had drawn $90 million on our revolver, leaving us with $101 million in availability. We had $12.6 million in capital expenditure for the quarter with $8.5 million for the Ellis Island. Total capital expenditures for the year were $45.1 million. We expect to have $11 million remaining on payments for the Ellis Island during the fourth quarter. The bid market year-to-date September 30, 2017 totaled $809 million compared to $668 million year-to-date 2016. Notable wins nine months of the year include the $88 million Mississippi Coastal Improvements project, the $47 million Charleston 1 project, the $26 million Myrtle Beach project and an $18 million West Coast Hopper project. During the first nine months of 2017 the company won 40% of the overall domestic dredging bid market. This rate is in line with our three-year average win rate of 42% and does not include the $213 million awarded for Charleston 2. Please remember the variability in contract wins from quarter-to-quarter or from year-to-year is not unusual and the win rate is not indicative of the win rate the company is likely to achieve next year. During the first nine months of 2017, Great Lakes won 55% or $136 million in capital projects awarded; 47% or $90 million of the coastal protection projects awarded; 28% or $99 million in maintenance projects awarded; and 20% or $2.6 million of the rivers and lakes projects awarded. Contracted dredging backlog at September 30, 2017, totaled $428 million compared to backlog at December 31, 2016 of $468 million. Again, this backlog does not include the recently awarded $213 million Charleston 2 contract. The E&I segment's backlog was $58 million at September 30, 2017, versus $38 million at December 31, 2016. With that, I will turn the call back over to Lasse for his remarks on the outlook moving forward.
Lasse Petterson: Thank you, Mark. We believe the strategies that we have outlined for the next 18 months to 24 months will put us in the best position to win exciting new projects in a very active domestic market, as well as in the international markets that are expected to recover in 2018 and 2019. With execution of our restructuring plan, upcoming delivery of the Ellis Island and E&I starting to contribute positively, we see this as a turning point and we look forward to generating results that will enable us to reduce our debts, improve our return on invested capital, and begin planning from necessary reinvestment in our fleet.
Abby Sullivan: And with that we’ll open the call for questions.
Operator: Thank you very much. [Operator Instructions]. Your first question comes from the line of Andrew Casella of DB. Your line is open.
Andrew Casella: Hi guys, thanks for taking the questions. I guess first, is there any way to quantify the potential impact from the hurricanes? I mean is there a way to call out. You know the utilization rates are all higher days or any way to kind of give a sense of you know the amount of revenue that’s missing from the quarter and then just how we should think about that flowing through the system as we progress into the fourth quarter and also into 2018?
Lasse Petterson: So in the quarter we had about four projects that were impacted by the hurricanes, with a number of days. I’d say from four to about 12 days of delay related to those four different projects and we’ve quantified that as about a $2 million impact and what we call contract margins. You know it’s above the gross profit line for the quarter. A lot of that will shift to the prior, you know to future quarters. But one thing that could impact that, whether you get it all back is the weather delays. So you know we have an estimated amount of weather. We’ve taken some of that now. We prorated those weather days into the estimate for the future. So as long as we – if we stay below those weather days, assuming you know the hurricane was the big impact, we would pick that back up, because we you do have additional costs from the delay, but otherwise if you have the same number of weather days you would lose some of that. But the impact to the quarter is about $2 million.
Andrew Casella: Okay, that’s helpful. And then I wanted to ask a little bit about you know the cost benefits that you guys are looking to get in 2019. If you could kind of talk about the ramp and how we should see that progress as we get into that full run rate by 2019, of that $40 million.
Lasse Petterson: Yeah, so it’s really broken into I’ll call it three buckets as we stated in the press release, some G&A and overhead costs, the assets rationalization and some operational improvements. On the first bucket of that, as we mentioned this is kind of the severance that happened and a lot of that is obviously that’s personnel and most of that is in G&A, a little bit in overhead which is above the gross profit line. So you’ll see that ramp up this year. It’s about $2.2 million favorable impact in the fourth quarter this year. The other items will come in 2018 and 2019 as the vessels are some have to finish projects and as they finish those projects we’ll be able to recognize those savings going forward, but as we look – as we said about this $40 million before realized in 2019, as we look forward into 2018 it’s about half of it would be impacting the full year 2018.
Andrew Casella: Okay, that’s helpful. And then just for the asset disposals, one, is that netted against the cash restructuring charges or is that an additional inflow we should think about.
Lasse Petterson: Yeah, so when we calculate the charge related to the vessels its net of proceeds. Some of those yes, yes…
Andrew Casella: No, that’s helpful. And then moving onto capital expenditures. So I know when you guys brought the bond deal and you kind of – I guess on the call you had kind of talked about a sustaining CapEx number of about $40 million to $45 million. So if you pull out you know the quartered numbers of $12.6 million and you take out the Ellis Island payment, you know your run rating at a number well below that. So is that timing – like would you call out that that number’s actually too high in the sustaining basis or how should we think about that number going forward?
Lasse Petterson: So yes, we are below it this year and we expect to be below it this year. Yes, some of these things are timing related to dry dock years, so you know this year is a – we had some dry docks earlier in the year, but we’ve had other years that are larger and when we talk about ’18, it’s not a high dry dock year, but we do have – we are estimating right now that next year would be about in this $40 million range related to – we have differed some things for this year a little bit, because this is the year we’re spending a lot of money on the Ellis Island, so we’re projecting about $40 million for next year.
Andrew Casella: Okay, that’s helpful. And then just final question for me and I’ll get back in the queue. I know you guys have stated on the last call that you were expecting second half margins to be below that of 2016, and I think year-over-year you guys actually comped a little bit higher. So how do we kind of think about the fourth quarter? I know you’re still expecting that number to be lower on a full year basis, but I mean it seems to me like you’ll only be marginally below that. If there’s any additional color you can provide there.
Lasse Petterson: Yeah, I mean right now with the fourth quarter we expect to be similar to this quarter, but you have to take out – we did have this hit on the E&I side. This job over – you know $2.9 million you have to adjust for that as you move forward.
Andrew Casella: I’m sorry, that number, will that drag down the gross margins for this quarter right. So your saying add that back and then that should be the right margin?
Lasse Petterson: Right.
Andrew Casella: Okay. Alright great, thanks so much. I’ll get back in the queue.
Lasse Petterson: Sure, thanks.
Operator: [Operator Instructions] Your next question comes from the line of Ben Klieve of Noble Capital Market. Your line is open.
Ben Klieve: Alright, thanks for taking my call this morning. A couple of questions here. Lasse, one question I have about the restructuring plans you announced a while ago and the decision to close out your Brazilian operations. I am wondering what was it about those operations that made you feel like you need to leave that market and second, how do you see that market differing from your current position in the Middle East right now. What could you compass that you want to maintain operations abroad in the Middle East, but close out those in South America.
Lasse Petterson: Yes, so as I said we looked at our markets and the markets that we operate in, both domestically and internationally and the Brazilian market has been small for us and going forward we’ve seen that has been difficult to cover the cost and the overheads that are associated with being in Brazil with the volume of work that we saw coming. The situation in the Middle East is very different. It’s a large market. It’s slow right now. We’ve been in the Middle East for 25 years with quite a number of vessels. We shifted back and forth between the U.S. and the international markets when we needed capacity in these different markets, but we’ve been there for a long time and we have excellent knowledge of the whole region, so we believe that that market is a good market for us going forward.
Ben Klieve: Okay, very good, thank you. And then also the quick question here on the warning. You said that the bid market in ’17 was higher than ’16 and you said that you expect next year to be higher as well. Did you mean that you expect next year to be an improvement beyond 2017 or higher than 2016?
Lasse Petterson: What we see in general is that we have this port deepening program that is ongoing as a consequence of the deepening of the Panama Canal. So the ports are targeting larger vessels and higher volumes of trade and these programs will go for the next three or four years as we see it and we as Great Lakes with our fleet and our very diverse operations are ideally suited for these projects. So these projects started back a couple of years ago with Miami being deepened. We are now active in Savannah. We have one Charleston and then this continues with the Boston, potentially also Jacksonville and so forth. So we see that program being a very good base for our company in the next couple of years. So if you’re thinking about the market, I would say we expect next year to be in line with 2017.
Ben Klieve: Alright, okay that’s very helpful, thank you. And actually it looks like that does it for me. You answered a couple of my earlier questions before. So thank you for taking my call and I’ll jump back in queue.
Lasse Petterson: Thanks.
Operator: And your next question comes from the line of Michael Clancy [ph] and Investment [ph]. Your line is open.
Unidentified Analyst: Good morning.
Mark Marinko : Good morning.
Unidentified Analyst: Yeah, can you just provide a little bit of color, what the issue was on with the Ellis Island and you know how mature you think it may be?
Lasse Petterson: Well, we encountered some problems with the ports side gearbox during sea trials and these repairs have been carried out. In these days we are putting the final touches on closing up the gearbox and we will recommence our sea trials end of this week and as you know, when you are taking out a new vessel and you go into commissioning and sea trials, there are – there may be issues coming up and this is what we have experienced and we will know when we can go to the project sites when sea trials are completed in the next days.
Unidentified Analyst: Okay, so assuming no other issues, sea trials will be completed in the next week or so, is that or are you not sure yet?
Lasse Petterson: Well, in our announcement we gave a program of our last announcement. Unfortunately we’ve got delayed compared to that, but we are going out to sea and do the testing with both the tug and the barge here in the next couple of days and then after that successful trial we go to the project.
Unidentified Analyst: Okay, thank you.
Operator: And your next question comes from the line of [inaudible], a Private Investor. Your line is open.
Unidentified Analyst: Just on the E&I loss that was called out this quarter, what was the nature of that? I know in our – we were trying to be a little more diligent and not taking on loss projects and yet you were still calling out projects. So what was the nature of that?
Mark Marinko : Yes, so with that project its really two issues related to that project; water on the site as well as the differing soil conditions and it’s a – in the different soil condition we had to put in a mix design in such a stabilization situation and with those differing soil conditions to mix design wasn’t working properly. So I want to be – we do have a negotiating change orders and claims for that going forward. It’s the only project that’s an E&I portfolio that’s at a loss. The other ones are all performing at or above the bid estimate. So it is this one job that has caused an issue for those two reasons.
Unidentified Analyst: Okay, and then while we’re on that subject the prior period, you had several years of project losses with change orders and were there any recoveries this period and what is still being pursued?
Mark Marinko : No, not this period, but we did earlier last quarter pick up a claim. I think it was $2.5 million. I’m forgetting the number off the top of my head. I think it was $2.5 million related to a job in Indiana that we had losses in ’16. So yeah, so this will be the only other major claim or change order that we have. We just have maybe a little more, but that’s the only big one we have on E&I right now that we’re negotiating.
Unidentified Analyst: Okay, so you settled off past ones and you’re no longer pursuing them. Okay.
Mark Marinko : That’s correct.
Unidentified Analyst: In Savannah, what’s the status of that?
Mark Marinko : So we’ll finish that job in March of 2018. You know that job has been; it’s about a three year job right. So we have the turtle windows we have to work through, so yeah, so we’ll be done with that by March 2018, an excellent project for us.
Unidentified Analyst: Are there future phases of that that are still to be bid or that’s the end of that project?
Mark Marinko : Yeah, no there is actually two more major phases of Savannah that as Lasse was mentioning, these port deepening’s. We talked about obviously Charleston we just won and Boston coming up. But then even in Jacksonville, Savannah and Charleston have additional phases. So there is a lot of additional work, that’s why we’re pretty bullish on the 2018 market.
Unidentified Analyst: My last question, what does the 2018 port deepening bid market look like?
Mark Marinko : So Jacksonville would be the big one in 2018.
Unidentified Analyst: Okay.
Mark Marinko : Oh yeah, and then there is Corpus Christi as well. It’s been one that’s been recently discussed in the press.
Unidentified Analyst: Okay, thank you.
Operator: And your next question comes from the line of Jon Tanwanteng of CJS Securities. Your line is open.
Jon Tanwanteng: Good morning gentlemen. Thank you for taking the questions. The first one, the $21 million in push outs you disclosed in the press release, is that new or increased or different from what you previously expected.
Mark Marinko: Say that again, what Jon?
Jon Tanwanteng: The $21 million of pushed out revenue in the E&I segment in the press release is that new or changed from what you previously said before?
Mark Marinko: No, we expect it to have – new things were coming out to bid or something we did want has been postponed. So those really were new items in the quarter. They have either, we expect it to have something and it’s been differed or a win has been postponed. So that’s the impact, it’s really new news.
Jon Tanwanteng: Got it, thank you. And then just for the ATB and the delays associated with the mechanical issues there, when do you actually expect it to start generating full run rate revenues. You know after the sea trials and after you have done kind of the first phase of work to see if it actually performed as advertised.
Lasse Petterson: Well what we have said before is that it goes to the Mississippi Coastal Improvement Program once the sea trials are complete and then we start, we have a run-in period where we are starting the dredging and what we have seen is we need a month or so or maybe two to kind of run in the units on the project and then we should after that have the full production in place.
Jon Tanwanteng: Got it and if you could, just a bit more color on the Boston and the Jacksonville projects coming up to bid. First, what do you feel like are the relative chances of winning each one and then just want are the relative sizes of the bids that we are talking about here.
Mark Marinko: Yeah, so on Boston its relative size is about – well it’s a big range, $100 million - $250 million big range on Boston. Its clamshell work, which is you know we’ve had a lot stuff on, back work and you know a lot of these other ones we’ve entire done with cutters or hoppers. So it’s nice piece of equipment we have. So we know it’s a good opportunity for us and for the market. And then on Jacksonville, it’s about $200 million, $250 million project. That’s one is a mix of cutter and hopper work.
Jon Tanwanteng: Okay, and you feel your chances are relatively good at each one or how should we think of the competitive landscape for those?
Lasse Petterson: I think that’s, as I said the fleet that we have available to us at Great Lakes is very versatile and the combination of these different types of dredges on these major projects puts us in a very good position, both for winning the project and executing the project.
Jon Tanwanteng: Okay, got it, and you mentioned Corpus Christi as the one that comes up next, as well as additional work on Savannah. What’s beyond that in terms of ports that need to be deep [audio gap] any others?
Lasse Petterson: Yeah I don’t think we, it’s in additional ports and with sequence coming out. There is a lot of press around the different ports that are planning to expand and deepen the ports. But clearly is a function of the core engineer’s budgets and additional funds being made available for these projects. But as we see it now, we have Boston coming up this year. Next year we are looking at then additional work on Savannah and we are looking at additional phases of Charleston. We are looking at also Corpus Christi that has been announcing major expansion of the works there. So it’s a good market and it will continue here over the next at least three years.
Jon Tanwanteng: Okay great. And then finally just a – on the Mideast work that you are seeing, is that keeping your fleet there 100% utilized going forward or is that only going to be after you’ve disposed of some of that assets where that was part of your restructuring plan?
Lasse Petterson: Yeah, we have contracts that cover those units for 2018 and we also have options on these contracts to take that further.
Jon Tanwanteng: Okay great. So just to be clear, are you reducing your asset base in the Middle East as well?
Lasse Petterson: Yes, we are. Due to all the work that is coming up here in the U.S., we have decided to take one unit away – considering to take one unit back here to the U.S. and the remaining fleet in the Middle East are then utilized on the contracts that we have.
Jon Tanwanteng: Got it that’s very helpful. Thank you.
Operator: And your next question comes from the line of Andrew Casella of DB. Your line is open.
Andrew Casella: Hi, thanks for talking the follow-up. Just two quick ones. As we think about the port deepening work, I mean what’s the typical duration of some of these contracts. I mean is this – how should we think of I guess the allocation of once you win a project how much we’ll benefit in year one, two, three just as we kind of think about your wins going forward?
Lasse Petterson: Well, Charleston is going to be three years and that is typically between two and four years on these deepening projects and there is flexibility in the contracts on when we can executive the work. So it gives us a very good base load for utilization of our fleet the next couple of years.
Andrew Casella: Okay, perfect and then Mark just a quick question on – as you guys will flow through these restructuring line items, it doesn’t look like you are adding them back to benefit EBITDA. So I just want to make sure on a headline basis EBITDA is going to be understated I think as we go forward and you guys take the charges related to the restructuring programs, is that the right way to think about it?
Mark Marinko: Yes.
Andrew Casella: Okay, thanks so much guys.
Operator: And your next question comes from the line of Kurt Probe of Liberty Park Capital Management. Your line is open.
Kurt Probe: Hey everyone. I was just wondering, how much of the impact is due to the beach rebuild from the hurricane versus the improved port deepening of it?
Lasse Petterson: The improving – you mean in the bid market?
Kurt Probe: Yeah, in the bid market, how much is the result of beach rebuild from the hurricane?
Lasse Petterson: Yeah right now we don’t know, we don’t have really as we talk about it. We don’t really have any of that expectation in the bid market as we think to move forward. They still have to assess that, and that takes some time for the army core to do a number of months. But you know we do believe there will be an opportunity. But as we have been talking, we are mostly talking about the opportunities on these deepening projects because they are so large.
Kurt Probe: Okay, thanks.
Operator: There are no further questions at this time. I’ll turn the call back over to Abby Sullivan.
Abby Sullivan: Thank you. We appreciate the support of our shareholders, employees and business partners and we thank you for joining us in this discussion about the important developments and initiatives in our business. We look forward to speaking with you during our next earnings discussion in February.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference. Thank you for your participation and have a wonderful day. May you all disconnect.